Sibongakonke Nkosi: Good morning. A very warm welcome to everyone joining us in person, online for Aspen's 2025 Interim Results Presentation. To kick things off, we'll hear from Stephen, our Group CEO, will take us and give us an overview of our performance. Following that, we'll have Sean, our Group CFO, who'll run us through the financial review. Stephen will then return to discuss our strategy, prospects and guidance. [Operator Instructions] With that, I'll now hand over to Stephen. Stephen, over to you.
Stephen Saad: Good morning, everyone, and thank you for those that are here live, and those that are online, welcome too. Interesting time and juncture that we've reached as Aspen. I'm trying to think it might have been 2 or 3 presentations ago, we gave you a presentation with green lines and red lines and the red with the headwinds and the green is where we hope to get to this point and financial year '25 was an important year for us. All the red lines came true. So all the headwinds were there and as is life, that will come true. But I'm also happy to tell you that our green lines that also have come true. So, where we stand today, strategically, we have a Commercial Pharma business that has been derisked, derisked from a -- let me see, if we get this thing going here, sorry -- trying to keep to the script, but I'm not very good at that. But derisked from a perspective of that we've dealt with China VBP. We've dealt with the issues within Russia. And so you're starting to see the base growth that we were talking about historically and without China and then we also said so Commercial Pharma is about derisking and getting the organic base right. In Manufacturing, we've got -- we had a couple of key objectives here. One was to resolve heparin and 2 was to start building on finished dose form sterile contracts. I think we've achieved all of that. The heparin business, as you know, about this time last year, we managed to turn it into a toll model. So we weren't exposed to commodity risks. And the sterile contracts, as you can see, are building year-on-year. If I stand here today and tell you what are we really focused on, I think we've -- our key objectives going forward are really twofold: one, to keep building on the sterile contracts, particularly our South African contracts. We really need to deliver on those and it's getting really close now and of course, the opportunities around the GLP-1 space, both commercially and manufacturing-wise. If we go straight down to the delivery in these 6 months, and I think you can see execution and advancements across both what we expect to do in the 6 months and what we -- the opportunities we've created for the future. We had earlier delivery than planned on some of our -- particularly our manufacturing contracts. So we expected in H2 they've come into H1. And we've had a very good operational delivery, double-digit growth in revenue in Commercial Pharma, in both revenue and EBITDA. And I'm talking at constant exchange level. We've had normalized EBITDA and Manufacture more than double. And that's interesting because you'll see no growth in turnover because the heparins out, but you see a doubling of the EBITDA. Of course, that's good for margins. And that's -- and you see higher gross profits and normalized EBITDA percentages. We've spoken a bit about the Commercial Pharma business. We don't -- for at least 3 years, I kept saying when this happens and if this happens in Russia, when this happens in China, at least we stop with the if then, and we can just deal with a base business that we are more accustomed to in Aspen, which is really a post-patent base without massive falloffs or drops in a relatively steady growth path. When we look at our Manufacturing, finished dose form, which are some of our key areas now is around Manufacturing and the GLPs, you'll see the growth we're realizing increased contract manufacturing and the insulin transfer is progressing in South Africa. Important for us to pass the validation stages, and we -- hopefully, we anticipate all of this -- some of this coming into financial year '25. GLP-1 is a particularly exciting opportunity for us, and we see it as a very material opportunity for both Commercial and Manufacturing. And I'll talk to you later about how this is progressing. We're a lot further now than we positively than we were 6 months ago. Going forward, we expect to see double-digit compound -- sorry, double-digit CER growth in the EBITDA. And our operating cash flow is really a key focus for us as well. And for those of you that know Aspen know this waiting to the first half in terms of building stocks for a bigger second half particularly in Manufacturing, and we expect that again in this period and our operating cash flow conversion rates are forecast to exceed 100%. So with that Sean, you can -- maybe you can take everyone through the numbers here. Thank you.
Sean Capazorio: Thank you, Stephen. As you can see, it's been a very, very busy first half in moving forward operationally and in executing on our strategic ambitions. So we are very pleased to talk to you about the first half results. And as we say in sports, half time score is good, but we've got to get to full time. So that's where our focus is going to be, and Stephen will talk you through that after my section. So coming into the -- just a brief overview of the highlights from a revenue perspective. We grew revenue in constant currency at 9% and 4% in reported. You'll note I'll keep talking between reported and constant because there was quite a big impact of currency, and I've got a separate slide, I'll talk you through a bit later, but a good increase in our revenue, 9%, and we'll take you through the detail of the components there. If you look then forward to normalized EBITDA from a CER perspective, up 21%, 12% in reported and that is significantly ahead of your revenue growth. And importantly, your gross margin growth is also above 20%. So 20% in gross margin and 21% in EBITDA. Moving forward to normalized headline earnings per share, a healthy growth of 17%. You will notice that, that's lower than the growth in EBITDA and the 2 big factors there have been the increase in our finance costs, which we did guide. We did guide that our interest rates would be higher in this first half. And also, we've had an increase in our effective tax rates, and I'll take you through some of that detail in later slides. But overall, ending the half at ZAR 7.24 and a 17% growth for the half. So I think the big topic, and I think it's going to be a continual topic is the currency impact. Quite a busy slide. So I'm going to ask you if you could direct your eyes to the bottom left graph first. And what we've done there is we've base-lined the South African rand as at June '23 and then compared all of our major trading currencies compared to that. So the ZAR is the dotted line, the blue dotted line and all the trading currencies are the currencies -- the solid lines around that. So when looking to the graph on the left, you'll see this is for our FY '24 12-month period. You'll see a very relatively stable position relative to all of our currencies with the ZAR starting to strengthen, you can see from about April, May and June. But when you look at -- if you look at our average exchange rates, half 1 to half 2 last year, they were very, very similar, almost identical. Someone could almost say we put numbers there that we made sure they look the same, but they were actually the same. So from an average rate perspective, last year's first half and second half were almost identical in rate. If you then look to the graph on the right, that's our next 6 months, and that's effectively a continuum of the graph on the left. So again, we've rebased the rand back to June '23. And you can see without fail, every single currency is below the blue dotted line. With particular emphasis, you can see the red line at the bottom is the Brazilian real and the one above that, the blue line is the Mexican peso. So a lot of weakness in those currencies relative to the rand in this half. Those are very astute and good eyes will notice that we don't have the ruble in our top currencies anymore, and it's been replaced by the Colombian peso, obviously, following our Viatris deal and the fact that Russia CIS has now become a fairly immaterial region in our overall sales. So if you look at the table in the top left, I've circled the reported numbers in red and the CER numbers in green. And you can see quite a big delta there, revenue of 5%. And as you go down the income statement, if you look at EBITDA, is a 9% delta between reported and constant exchange rate and at normalized earnings up to a 12% delta. Now it's always easy to talk percentages, so I always like to give you an EBITDA perspective. So you'll notice in our financials, we do present our numbers in constant exchange rate. And our EBITDA last year for the full year was just under ZAR 11.3 billion. If you look at our constant exchange rate and restate that EBITDA at today's rates, it's ZAR 10.4 billion. So nearly ZAR 1 billion, ZAR 900 million impact when you restate those numbers at a constant rate. So that's -- just to give you a bit of a value perspective that you can put to those percentages. Then moving on to our group revenue. As you saw in the first slide, group revenue has grown in constant exchange rate by 9%. You will recall, and I think Stephen briefly mentioned it in the first slide, last year, we had the one-off benefit of the heparin sales in our financial year, around about ZAR 1 billion in the first half, and that was converting the model to a toll manufacturing model. So it was a one-off sale with very little margin benefit. So if we sort of park that and put that to one side, let's forget about heparin because that is a distortive impact. If you look at the underlying growth of the group, the growth is actually at 15% relative to the 9%. And if you look at Manufacturing, you'll see that's at 0%. If you unpack or you exclude the heparin, the underlying growth in Manufacturing is 20%. So overall growth -- underlying growth in both segments very, very strong and double digit. On the Commercial side, as we've grown double digit there at 13%. You'll see across all the segments, prescription, the injectables and the OTC, all growing in constant exchange rate. You will note that OTC is the lowest growth there, but that is just really phasing, and we expect a strong recovery in the second half. And we've got detail on all of the segments in the appendix if you want to go through the detail of each of the underlying segments in Commercial Pharma. Manufacturing, as I said, at the overall level at 0%, but taking out heparin, you've grown at 20%. And if you look at the FDF growth, which is the key performer in this half, that's grown at 65% over the first half last year and obviously a strong contributor to gross margin. Looking at our Commercial Pharma from a regional perspective, we've had solid growth across all the regions aside from Australia. If you remember, Australia, we've been on a conscious strategy to increase our OTC as a segment relative to the prescription segment because bear in mind, if you remember, the prescription has always got the challenge of regulatory price cuts in that market. And I'm pleased to say that the OTC segment now is at the same size as the Rx segment in Australia. So well poised for future growth. And effectively, going forward, we're derisking that Australia business. And you'll start seeing that OTC starting to drive overall growth in that Australian region. Apart from Australia, strong growth in all the other regions contributing to our 13% constant exchange rate growth. Obviously, a big growth driver there is the acquisition we did with Viatris in LatAm. And so what we did is we excluded that, so what would be our underlying growth if we excluded that acquisition and the underlying growth is still a very strong 8%, excluding the acquisition in LatAm. If you look at the key region there, Africa, Middle East, a strong growth of 13%. And obviously, the Lilly portfolio, including the exciting launch of Mounjaro in December have driven that trajectory. And Africa -- Asia and Europe have been impacted by the product swap transaction with Sandoz and overall providing a net benefit -- a positive benefit and a positive growth to the group. Interestingly, if you look at Europe and you take out the impact of that product swap, Europe's underlying growth is actually 10%. So very healthy growth across all the regions. Moving on to gross profit margins. If you look at the graph on the left, that's our Commercial Pharma margins. And you'll see we've got the 3 halves there, half 1 '24, half 2 '24 and half 1 '25. A very steady 59% gross margin. So we're very comfortable that the margins in Commercial Pharma are steady and sustainable. Again, in the appendix, we've included the 3 segments, so you can go look at the underlying margins. And looking at those, you'll see also a very steady trend across the 3 subsegments in Commercial Pharma. Manufacturing, the middle graph, you'll see a nice stepped improvement there, 5% in H1 last year, 12% in H2 and up to just under 16% in this half. So really very good performance with FDF being the key contributor to that gross profit growth. When you put those 2 together and you look at overall group margins, we've ended the half at just under 48% with Commercial Pharma -- an increased mix in our Commercial Pharma business and the improved Manufacturing gross margins driving that growth in the gross margins. And we do anticipate that, that margin will be sustainable into the second half. On to our normalized EBITDA. That's up 12% in reported and 21% in constant exchange rate. If we look at revenue and gross margin and you look at the far right, you'll see revenue in constant exchange rate, as you remember, has grown at 9%. Gross profit has well exceeded that at 20%. And if you remember, if we stripped out heparin from our sales, our sales growth -- underlying sales growth is actually 15%. So 15%, let's call it, apples with apples sales growth and a 20% gross margin. So gross margin still exceeding sales growth, even taking out the heparin impact. So that has driven a very strong performance in terms of the gross profit margins and is a key driver of EBITDA growth. From an expense perspective, our expense ratio is a little bit elevated this half, impacted again by that heparin reduction in revenue and also by the fact that we've had to absorb the Sandoz China expenses in this first half, and we are going into a reshape of China in the second half, and we should see the benefits of that integration coming through in this half 2. And then obviously, more importantly, going with a very clean expense base into FY '26 in our China business and with improved margins. From an overall EBITDA perspective, you'll note that the EBITDA margin has gone up just under 2% from 24.6% to 26.5%, and that is driven predominantly by the improved gross margin, both from Commercial Pharma and Manufacturing. In our other line, we have lost -- we have the absence of the one-off contribution of compensation in the prior half, which we haven't enjoyed this half. So that has slightly diluted the EBITDA growth. I think importantly to also note is that we have enhanced our segmental disclosure. And I think I did see some of the sell-side analysts comment on that in their commentary. So we've now got -- we've now been able to disclose our Commercial Pharma segment and our Manufacturing segment right down to EBITDA level. So it makes it a lot easier for you to see the relative EBITDA contribution from each of those business segments. And you'll notice that Manufacturing is also north of 20% in terms of EBITDA margin. So although it's got a gross margin of 16%, looking at EBITDA, it's up at 20% -- I think it's 21.4% to be exact. From a finance cost perspective, we've ended the half with an effective interest rate of around 5%. We were of the view that, that has now peaked, and we do anticipate interest rates coming down in the second half that we start to benefit from all of these rate cuts. And so we anticipate for the full year to be less than 30 basis points higher than the FY '24 interest rate. And you'll notice as well the interest rate in this half is very similar to half 2 last year's interest rate of 5.1%. So it really peaked. Just to bear in mind, they always have that pressure of we're paying down the loan with the IFC, which was at a 0% base rate. And as we pay that down, I think it's about EUR 120 million a year that we pay down, that gets replaced by interest-bearing debt. So we always have that in our base, but notwithstanding that, we do see a lowering of interest -- effective interest rates going forward. And on the foreign exchange losses side, fairly muted for this half relative to the prior half. On working capital, I think Stephen also covered that upfront, but we have had elevated working capital in this first half. It's a seasonal elevation, and we do expect that to reduce in the second half. If you look at the graph on the right-hand side, that depicts our working capital as a percentage of revenue. And on the far right, you'll see we've ended the half with working capital being 50% of revenue. That is up 5% from financial year '24 closing position and about 1% up from the previous half 1 in FY '24. The seasonal increase in manufacturing inventory levels is expected to reduce. We've obviously built up that stock in the first half to support our seasonal weighting of sales in half 2. And we do expect -- we do anticipate and we're targeting to end the year at a 45% working capital to revenue ratio and ending in line with FY '24. The other impact you'll notice in the appendix, we've also had a one-off impact from our working capital with taking on the Sandoz China business. We inherited a negative working capital balance at the start. We did have cash from Sandoz to cover that. But from a working capital and accounting perspective, we now had to unwind that working capital back to a normal level, and that was around just under ZAR 0.5 billion outflow, which is also one-off in nature and has impacted our first half working capital. If you look to the graph on the left-hand side, that light blue line, you'll see that's the half -- each of the halves have operating cash flow. You'll see in this half, we ended at 63% on the far right relative to last year at 89%, and that's the impact of the inventory build this half. Also last year, if you remember, we did benefit from the heparin liquidation, which also supported the 89% last year. But if you look at the second half, it's always over 100%, and we're confident that trend will continue, and we continue to target to achieve more than 100% cash operating ratio for the full year. On to tax. Tax -- unfortunately, tax always falls right through to earnings. So we've had quite a big jump in our tax rate this half. It's -- we've ended the half on our normalized, the light blue line at 21.6%. That's nearly 4 percentage points up on the full year '24 and just under nearly 5% up on the half year last year as the tax rates were around 17% for the half last year. So quite a big jump in the normalized tax rate, and that also falls through to the overall group tax rates, which have gone from 23% up to 25%. The big impacts there, we have had an increase in our FDF sterile mix, which is in higher tax jurisdictions, and that's something we did guide everybody to in our FY '24 results that tax rates would go up in this financial year. The other big driver is -- and you'll hear this term a lot, BEPS, base erosion and profit shifting Pillar 2, BEPS Pillar 2 legislation, which was promulgated, I think, on the 3rd of January. And just to spice it up, they made it retrospective to January 2024. So we had no room to move. I think in our last guidance, we thought this would only impact us in FY '26. But unfortunately, they made it retrospective and it's now impacting us in this financial year as well. That is a global minimum tax that we -- that has to be paid across the globe. It's not just a South African legislation, but [indiscernible] have gone for early implementation. And so we've had to account for that. I think important to note from a cash flow perspective, however, because this is a very complex legislation, the first return is only due in December '26. So you can only see cash outflow from BEPS Pillar 2 probably from early calendar year '27 when those returns have to be submitted. But from an accounting perspective, we've made provision for these taxes now. Last but not least, very importantly, on our sustainability area, which is part of Aspen's DNA and a key part of our value proposition. You will remember that we published 16 sustainability goals in our 2024 integrated report. And those are all very important goals under the pillars of patients, people, society and environment. And we've actually given them quite nice friendly names underneath. So for patients, we're talking about healthier populations. People, we're talking about inspiring our culture, society, creating thriving communities and on the environment, restoring the planet. So that gives it a little bit more of a human flavor rather than just the normal word that's being used at the top level. Out of those 16, we thought, look, we're going to drive all 16, very important, but we wanted to give focus to 4 goals and set ourselves KPIs to achieve those goals. So we've selected 4 specific goals out of the 16 to focus on. So the first one being on the healthier populations. And this is really the main mission of Aspen is to increase access of our medicines to patients. So our goal there is by 2030 to increase the number of patients reached for critical medicines, particularly in emerging markets over a baseline of FY '24, and we'll obviously continue to measure and report on that metric going forward. So that's a key underpin for us and access is part of our DNA, as I said before. On the culture side, we want to achieve diversity and inclusivity in our workforce. And so by 2030, we want to achieve gender balance in top management positions globally. We have gender balance at the overall workforce position, but not at top management. And just to give perspective, currently, we're only sitting at 31%. So we've got to go from 31% to 50% by 2030. From a society perspective, we want to continue to maintain our high governance and ethical standards. And so each year, we set ourselves goals in terms of our ethics and compliance programs and the KPI there is to achieve 100% of those very tight goals and make sure that we have high ethics, high compliance and always staying on the right side of the regulators in the various markets. From an environmental and restoring planet perspective, in terms of reducing carbon emissions, we plan to reduce Scope 1 and 2, which is your direct carbon emissions by 50% by 2030, and we're measuring ourselves against the baseline of 2020. At this stage, I think we're around a 30% carbon emission reduction. So some way to go, but we're comfortable with all of our initiatives that are underway that we're moving well in this target. You'll notice I haven't put up the usual slide about all our waste conversion of waste to energy project, but those are all progressing very well, and we'll keep you updated on progress on all of those in our various facilities. But not to detract, we're still focusing on all 16 goals, but these are the 4 that move the needle. And in Aspen, we like to choose things that move the needle and make a big difference to the company and to society and to our planet. So on that note, I'd like to hand you back to Stephen. He's going to take you through the strategic overview and then more importantly, also the prospects and guidance for the years ahead. So thank you, Stephen. Over to you.
Stephen Saad: Good. Thank you, Sean. Well done. Thank you. In our strategic review, a couple of headlines, just we're going to focus on here, commercial pharmaceuticals. We're going to talk at what goes on in LatAm. We're going to look at China, and we're going to look out at what Mounjaro is doing in South Africa. We're going to talk about a capacity fill, a little bit of better understanding about where we are with Novo, where we are with the pediatric vaccines in our South African facility and the mRNA rollout in our French facility. And then we just -- we're going to try and unpack what GLP-1s mean for Aspen, which is the largest opportunity in global pharma and our position in it and why we think we're well positioned for sustainable success and the benefits it has both on our Commercial and Manufacturing. So let's click straight into Commercial Pharma. we made an acquisition in Latin America. It was an important acquisition. It gave us critical mass in the region. But generally, with acquisitions, the way it goes is that you acquire a whole lot of products. And by the time you transition reps and distributors, something falls, you never quite -- if you start with 100, you never quite get 100 in year 1, you go below it and then hopefully, you try and build back up. But we're getting good at these now and particularly our LatAm team, an incredibly seamless transition. And if the base sales were 100, we got more than 100 in period 1. So a really great take on, maybe one of the best that I can recall in Aspen's history and take-ons of acquisitions. And it was an important milestone for us. A lot of these products are lifestyle portfolio, and they've got enduring growth that post-patent, whatever knocks they should have taken, they've taken. So to really start on the front foot growing, a great achievement by the team in Latin America. In China, we had told you we intended to reshape the business. We went through VBP and the Sandoz portfolio as well. So we're putting them together, and there was a need for a reshape. The environment in China was difficult and remains difficult. We don't see right now an obvious pathway to rebound in the short term. It's not going to be one of those markets that rebounds. That is a big market and it's a strong market is a given. And it's a market that we see an important place for Aspen. But we -- the restructuring that we've looked at, it's larger than we initially anticipated. It will need to be larger. We don't just want to go through death by 1,000 cuts here. And so we have implemented a larger restructure given what we've seen in the last period, and this will be fully implemented by the end of next month. The rollout of Mounjaro, well, that's been the most exciting launch that I've been involved with in over 30 years in South African Pharmaceuticals. To give you a sense, we put stock into wholesalers and distributors over December, January. We're having the launch. We only had the launch in the first week of February. Yet in January, unlaunched, it already had 18% of the market. So without a launch, it really just by word of mouth, the scripts are generated. It's definitely going to be, in our opinion, the largest product ever in South African private sector. Give you a sense of what we did to bring it to market, we first put it in vials, which is -- and just to get it to market. And just to give you a sense of Lilly and their commitment to us, we got these products ahead of markets like France and Spain and many other markets. We see this transitioning to pens. So we see the market going to pens. And the chronic weight management indication, we still don't have the chronic weight management. And so that's in with SAHPRA for approval under review as well. And I think just having alternative dose and of course, having a broader population, which now you've got an obesity besides just diabetic population will continue to grow this product that -- it's doing incredibly well as we speak. If we look at the manufacturing capacity forward, here are some of our key priorities of our existing business or existing opportunities that you're aware of. Novo insulin is very, very important to our South African business, and we are moving towards validation. Validation is you approve the process -- and you can show the process that you've got works exactly like the product worked before effectively. And that is what will trigger committed volume offtakes for Aspen. We expect payments in this financial year. As we speak, we're going through the process of aseptic filling. I'm not going to bore you with term, but we're going through processes of filling and going into this validation progress. And our timing depends on the -- on how those batches are executed and what we achieve. Obviously, we've been working on it very, very long time, and we've got a high degree of confidence around what we're doing there. I think you're going to start seeing a successful validation, of course, you're going to get a bigger realization in financial 2026. And that increases all the way through 2028 as we -- as the volumes obviously annualize and we add an additional line to the process. We had some light, not great on patients and bureaucracy, but we had some light on the pathway for the Gavi vaccines, the pediatric vaccines. We're seeing -- every time we want to ask to speed something up, we have to go through a process of priority review, which gives you a speeded up process. But it does take time, and there is no certainty necessarily on it. There is legislation now, which is expected this year that anyone who local manufacturers has an automatic priority review. So that would be a real benefit for our South African facilities. And probably the most positive update is that to register to tender for Gavi, you first register with SAHPRA, and that's a prolonged process. And then you've got to go to WHO, and that's another process before you can tender. And WHO and SAHPRA started to work together. They're using some of our products as a pilot project, where they will review the dossier jointly rather than sequentially. So that will accelerate the time line. And we can acquire -- we can now apply for what they call WHO PQ or prequalification earlier. And as soon as you have your application in, you've got the right to tender. And then there's a period for registration. If your registration is decent and good, could take as little as 6 months. And so our best estimate right now is that we will have some Commercial sales in calendar year 2026. The final area I'd like to talk about is the mRNA rollout in Aspen. And for those of you that follow the markets generally, the COVID market and respiratory market, RSV market, volumes are declining and manufacturers are being rationalized. I mean that's all in the public domain, bigger players are rationalizing. Just to remind you all, Aspen has a capacity reservation agreement. So it's -- there's a commitment to volume offtakes. Aspen is really a preferred manufacturing partner. And we expect the -- one of the exciting opportunities coming into this respiratory field is a COVID and flu combination, which we see as an opportunity to really grow volume. So right now, those people that go for a flu shot, have a flu shot and those that go for COVID, go for COVID. And here's an opportunity to combine them. And so it saves lots of up and down. And so people who were just going for a flu shot might also elect to take a COVID vaccine as well. So I think that will definitely grow that market and that opportunity and Aspen is well positioned for that opportunity. GLP-1s. This has been something we've been working on really, really hard, and it's got ramifications all the way through our business from our development teams, manufacturing teams, commercial teams. So let's understand how we see the opportunity and why we think this is a transformative opportunity. What we have seen is unprecedented offtake of GLP-1s. If you just look at the innovators, Novo and Lilly, the estimated sales are over $35 billion in sales. When you look at who is this patient pool, you've got people with type 2 diabetes and/or obesity. There are lots of people who have both -- tend to both. And if you look at that pool, it's probably over 1 billion patients. Now of course, not all 1 billion patients are going to ever have access to all of these products. But when we reverse calculate how many patients are being serviced by the branded products, there's only 15 million to 20 million out of the 1 billion that are currently treated. So you say, why is this such a large delta between the patient pool and the number of patients. And we're going to deal with 3 key factors here. So firstly is supply. There's a global capacity shortage. I think you can read that at every turn. There's massive backlogs at suppliers. I'm referring particularly at equipment suppliers, device suppliers, et cetera. And when you think about it, this whole supply chain has been stretched to just deal with 15 million to 20 million patients. So to have supply in an environment which has got a much -- a big market, but is already strained at a fraction of 1%, gives you a sense of how important supply is going to be here. Then even if you had all the supply in the world at $500, $1,000, $300 a month, it's just the price point is really high for many patients. So there's an affordability factor. If you add to that, you -- if insurers will pay -- they'll pay for type 2 diabetes generally. But obesity is generally not paid for by insurers. So even if price much lower, many would still not be able to afford the treatment. So what's the market opportunity? And this falls into everything Aspen has done over the last nearly 30 years, the market opportunity. If we can bring out a quality product affordably and products that people can pay, even if they can pay out of pocket, we think that is where a really big chunk of the population that's not in the 15 million to 20 million can come from. So yes, there are people within there, but there's a bigger market opportunity. And we see a surge in global volumes. And normally, when you go and do something and say, okay, this is a branded product, the tablet does 100. I'm a generic and I'm first to market, I can get 30 and those -- here, the market is undefined. The market we would forecast sometimes beyond what the volumes on the market simply not supplied or not accessible because of the price. So we see a surge in global volumes as patients access increases by multiples really. And -- but to access this market, there's 3 critical things you need to have here: intellectual property, manufacturing, sterile manufacturing capacities and capabilities and ability to get to patients, particularly across some of the early markets. So those are the 3 key factors, and that's what we've been working really hard on. And we looked at Aspen's position in this market, and we think Aspen ticks all the boxes. So pillars for success, owning and controlling your intellectual property and your sterile manufacturing and having market reach to commercialize the product. Now why is owning manufacturing and intellectual property important? If you license intellectual property, there's markups along the way. If you're manufacturing with a third party, there markup. So to be absolutely sure of sustainability in this high-volume market, really good if you control your IP and you control your manufacturing. So where are we with intellectual property? And this is where we've made our biggest advances since we last spoke to you 6 months ago. We have started submitting dossiers globally. And what happened you submit and then an authority comes back to you with what they call a deficiency letter saying we'd like you to explain this or we'd like you to do more work here. We've already had responses already received from a really stringent regulator. Obviously, there's lots of confidentiality around it from our perspective and just competitive advantage, but a very stringent regulator. And what we've -- what -- where we are now versus before is we've now had feedback on what we think our IP is good, but we've got confidence now in both the quality and acceptability of the dossier, and we expect to achieve entry for market formation. So we expect to be up there with the first launches in the market. And that's a massive, massive shift from where we were before we told you we had some licenses we're doing. That's a big shift for us. In terms of sterile manufacturing, I hope I don't have to spend too much time on this with you. So those have seen our facilities and know what we do. We've got capacity and proven capabilities, and we've got credibility around proven supply -- reliable supply. And given what I told you earlier, that is probably a key factor in terms of access. In terms of market reach, the early markets here are largely across emerging markets, the only exception being Canada. So you've got Canada and emerging markets, Europe and the U.S. will come later. And we have that reach the core to our commercial success because you're going to need to cover many, many health care providers. So for all of those good reasons, we felt we're in a great position, and we tick all the boxes for what is a very important opportunity, global opportunity for Aspen. With that, I'm going to go into our prospects and guidance. When we -- on our prospects, we're advancing positively in Commercial and Manufacturing. And as Sean demonstrated to our Commercial Pharma, both organic and inorganic growth, and it's cleared of material risks. The manufacturing capacity for rollout is rolling out and finished dose form is delivering. We expect strong growth in H2 with increased manufacturing rollout. And then from financial '26 onwards, we expect the additional contracts that we've made you aware of around insulins and pediatrics. We are still in discussions with others, but those ones are clear. When I say near term, I'm not talking next week, but I'm talking there will be opportunities in the years ahead. I think the GLP-1 opportunity, as I said earlier, was a strong contributor to future growth. I think we have a very competitive and compelling global platform. With the confidence in our IP endorsed by the positive feedback from the regulator and the opportunity for early market, we've really got great optionality for stand-alone or with partners. And when you approach a partner and say, I've got this and it's a year away or 2 years away and I've had no feedback, it's worth x to anybody. But as you get closer and you do better and better, yes, you've taken the risks along the way, but your value of that IP increases significantly and your negotiating leverage improves as well. We expect the first revenues in financial year '26 with a positive impact on the FDF manufacturing. We have guided in the past EBITDA in the period '24 to '26 CER EBITDA, we guided at ZAR 2.8 billion incremental and which was ZAR 4 billion of contribution. So it was 70% of contribution. And so we do see that as potentially positively impacting that revenue and maybe raising the guidance in that contribution if we achieve the launches as and when we hope to. And of course, as it goes on after that, you're going to get the annualization of the previous year, but also importantly, more and more markets coming online. So some regulators can approve this thing in 6 months, some in 1 year, some in 2 years, some in 3 years. So we're going to -- as we register, we expect more and more products to come online. So for all of you that analyze Aspen, I think this slide and try and get your numbers right, we've tried to give ourselves a really good guidance the best we can with what we see at the moment. We've got strong CER growth in EBITDA. It's just over ZAR 1 billion, ZAR 700 million came from manufacturing, ZAR 500 million from Commercial Pharma and the negative ZAR 200 million was that we had the compensation in the previous period that didn't repeat in this period. Commercial Pharma, double-digit CER growth in sales and normalized EBITDA. And we're going to have high restructuring costs largely relating to China in this period. And then we've got -- and we expect 2 relatively even halves from Commercial Pharma. So a really good first half, and we intend to replicate it in the second half. Our Manufacturing, we expect the growth to be sustained. I remind you, we had a very good second half last year in this area. The API will rebound to a much stronger H2, and we're targeting similar absolute CER growth in normalized EBITDA as achieved in H1 2025. If we take broader financial guidance, gross margins and normalized EBITDA percentages to increase, the CER normalized EBITDA in H2 to exceed H1 and double-digit CER growth over H2 '24 projected. We expect H2 '25, as Sean guided you to, we have slightly lower interest rates in H1, and we expect the increased effective tax from 2 areas from higher sterile contribution and the global minimum tax, which Sean also talked you through earlier. And the operating cash flow is expected to exceed 100%. So good strong operating cash flow in this half. And of course, currency will continue to impact reported results. Currency, unfortunately, we always talk to you in constant exchange rate, that's something we simply can't manage. And I think that's our story. So that's it. So from there, we can move to Q&A, Sunny. So thank you. Thanks, everyone. And hopefully, it was clear.
Operator: Thanks a lot, Stephen and Sean. We'll start with questions in the room. [Operator Instructions] Any questions in the room? We can move over to the webcast questions. The first question is from Ken from IFC asking in 2 parts. Stephen, Sean congratulations to yourselves and the wider Aspen team on the strong operational and financial performance. Going forward, how does the contribution margin from insulin and other GLP-1 products compared to other Manufacturing products?
Stephen Saad: So Ken, firstly, you can start deferring those IFC paybacks because that will help our interest line. So that would be a good start. In terms of insulins, it's an all-in contract. By that, I mean we simply do the labor and overhead. All components and API materials are provided by Novo. For GLP-1s, it's likely to be different. If we sell those products ourselves, we will carry the cost of working capital. So that's the difference there.
Operator: And then the second part of the question, also, any commentary on the statuses of the tech transfer for vaccine manufacturing products from the Serum Institute? When do you anticipate those transfers reflecting in turnover and EBITDA?
Stephen Saad: Okay. I think I answered that in the presentation.
Operator: All right. The next question is from [indiscernible]. He wants to know about the GLP-1s. What is the company's view on oral indications? These are expected to alleviate supply shortages for injectables over the long term.
Stephen Saad: I’m not sure that you can make a statement like that, that you can say it’s expected to alleviate. They first need to be approved. The cost of manufacturing an oral tablet and the relative efficacy of things to think about. And because you need a lot more chemical in them, there is hope for it, but there’s always going to be a big space for the injectable products that work really well. And you’ll see that even the leading players with oral registrations are also registering many or have many injectable products in registration as well. So there’s a place for both. It’s not a simple switch necessary.
Operator: And then [Shubnam] from Aspen.
Stephen Saad: So just to give you an example, in semaglutide, there's both tablets and injectables and the tablets are very small, very small percentage. So semaglutide are things like Ozempic and Wegovy. They've got a tablet called Rybelsus and it's a very, very small percentage of the semaglutide sales.
Sean Capazorio: I think the other point to make is that they all come with patent protection. So the price point of those will also be quite high.
Stephen Saad: Yes, it’s a very good point, Sean. I mean there’s – anything that arrives now is going to be expensive because it’s been developed and patent is going to be very expensive. The market that we intend to taking is at a lower price point because we want to get to particularly people with out-of-pocket or insurers will say, I’ll pay for your first X and you must pay your own. We want to try and be at X. So I think that’s – thanks, Sean. That was a point well made.
Operator: The next question is from [Shubnam] from Aspen. Will Aspen consider on investigate insulin device manufacturing considering our public sector patients, especially pediatric, elderly, visually impaired, et cetera.
Stephen Saad: Sorry, I didn’t get that. Are we going to make devices?
Operator: Yes, insulin devices.
Stephen Saad: Insulin devices?
Operator: Yes.
Stephen Saad: Look, I mean, we’re not a device manufacturer, but would we consider making insulin in pens? Yes, we will ultimately have the capabilities to make in pens, but it’s not our decision to do. It would have to be the IP holders’ decision of whether we make products in pens or not. Right now, our capacities on vials, but pens will come in on 2027.
Operator: Thank you. The next question is from Roy. His question is ZAR 1.3 billion allocated to GLP-1 in H1. What are the future cash flow obligations in this regard? Actual interest expense is lower than H1 2024 despite higher debt. Is this a currency impact alone?
Stephen Saad: Sean is going to answer the last one. The first one is we've spent most of what we need to spend. I think it was -- I think there might be ZAR 300-odd million left in GLP-1. Yes, it's about ZAR 300 million. So we spent what we needed to spend on GLP-1s. We've done a lot of work, a lot of effort over this period, but there's not a lot left. Sean, you're the man on interest?
Sean Capazorio: Yes. I think a lot of that would be currency because of the stronger rand this half relative to last half.
Operator: All right. And the next question is from [Stephens] from Aspen. Where do you see investment of GLP-1 usage beyond diabetes and weight management?
Stephen Saad: I think I don’t know any more than what I read in the public domain, good for cardio but you read all sorts of things, sleep apnea, gambling, addictions, you get all sorts of stories. So I think let’s just wait and see what indications follow. But I must say, with this particular category, you always wait to read something very negative, oh my God, it had this bad effect on people. And everything that’s come out so far has been positive. It’s quite amazing, generally positive.
Operator: Thank you. That's it from the webcast. We've got a question in the room.
Unidentified Analyst: Just with the regulator or stringent regulator looking at the GLP-1 dossier, does that mean you've got secured supply of peptides for your capacity?
Stephen Saad: So a regulator doesn't look to see what your supply is. They look to see that what you're using for supply meets certain profiles. So it might be an impurity profile, how the body reacted. Supply and what we do is our issues. We've got a supply. We then send the product to them and we say, this is what it looks like. These are things that ask you to defer the test, they check the test and they come back and say to you, we're not happy where this peaks here or there. And so you could -- and go back and fix this. And that could be, oh my goodness, I've got to redevelop a dossier or I've got to generate 6 months more data. Well, this is something I can do in a week or 2 with an explanation. So it depends. And so you always wait for that, I can say, what's going to come back here. And nothing we -- that they've come back with makes us feeling comfortable that we can't answer it. No one's asking us to redo something or we don't like your -- I think you want to use API or whatever it was or peptide.
Operator: Any more questions?
Stephen Saad: Okay. Lovely. Thank you. Thanks, everyone. I appreciate your time. Thank you.